Kim Callahan: Good morning and welcome to Camden Property Trust First Quarter 2022 Earnings Conference Call. I'm Kim Callahan, Senior Vice President of Investor Relations. Joining me today are Ric Campo, Camden's Chairman and Chief Executive Officer; Keith Oden, Executive Vice Chairman and President; and Alex Jessett, Chief Financial Officer. Today's event is being webcast through the Investors section of our website at camdenliving.com and a replay will be available this afternoon. We will have a slide presentation in conjunction with our prepared remarks and those slides will also be available on our website later today or by e-mail upon request. [Operator Instructions] And please note this event is being recorded. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC and we encourage you to review them. Any forward-looking statements made on today's call represent management's current opinions and the company assumes no obligation to update or supplement these statements because of subsequent events. As a reminder, Camden's complete first quarter 2022 earnings release is available in the Investors section of our website at camdenliving.com and it includes reconciliations to non-GAAP financial measures, which will be discussed on this call. We hope to complete our call within one hour. [Operator Instructions] At this time I'll turn the call over to Ric Campo.
Ric Campo: Thanks Kim. The theme for our music today was fools as in April Fools. Since our IPO 29 years ago, April 1st, 2022 was one of the most consequential days in Camden's history. The day began with Kim Callahan telling us that Camden was being included in the S&P 500. At first, we just assumed Kim was attempting one of the lamest April Fools jokes in history, but Kim has never been a big jokester. Later that same day, we closed on our largest acquisition since the Summit merger in 2005 with the purchase of Texas Teachers partnership interest in 22 Camden communities with a gross valuation of $2.1 billion. And finally, April 1st was the day that Camden completed the implementation of our Work Reimagined initiative, a comprehensive restructuring of how we staff, manage, and support our Camden communities. Alex will provide more details on this initiative in his comments. Any one of these events would have been a big deal for Camden. The fact that all three happen on April Fool's day was extraordinary and that's no joke. I want to give a big shout out to our teams in the field. We're continuing to outperform our competitors, while improving the lives of our team members and our customers one experience at a time. I'd also like to give a big shout out to our real estate investments, finance, legal, and asset management groups along with our accounting group for their amazing work in completion of the acquisition and the permanent financing for the Texas Teachers' transaction truly a team effort. Keith is up next. Thanks.
Keith Oden: Thanks Ric. Now, a few details on our first quarter 2022 operating results and April trends. Same-property revenue growth exceeded our expectations at 11.1%, the best quarterly growth in our company's history. 12 of our 14 markets posted double-digit revenue growth in the quarter with Tampa, Phoenix and Southeast Florida showing the strongest results. Given this outperformance and an improved outlook for the remainder of the year, we've increased our 2022 full year revenue growth projection from 8.75% to 10.25% at the midpoint of our guidance range. Rental rates for the first quarter had signed new leases up 15.8% renewals up 13.2% for a blended rate of 14.4%. Our preliminary April results are also trending at 14.4% for blended growth with new leases at 14.7% and renewals at 14.1%. Renewal offers for May and June were sent out at an average increase of 14.4%. Occupancy averaged 97.1% during the first quarter of 2022 which matched our performance last quarter and compared to 95.9% in the first quarter of 2021. April 2022 occupancy is trending at 96.9% to-date. Net turnover for the first quarter of 2022 was 36% versus 35% last year and move-outs to purchase homes dropped to 14.1% for the quarter versus 15.8% last quarter in line with normal seasonal patterns we typically see from 4Q to 1Q of each year. Move-outs to purchase homes remain well below normal for our portfolio. Finally I want to acknowledge all of team Camden for recently being named to Fortune's list of 100 Best Companies to Work For. This year marks our 15th consecutive year on this prestigious list. Camden is one of only five companies included in the S&P 500 and also named to Fortune's list for the last 15 years rarified air indeed. Next up is Alex Jessett, Camden's Chief Financial Officer.
Alex Jessett: Thanks, Keith and certainly rarefied air. Before I move on to our financial results and guidance a brief update on our recent real estate and finance activities. During the first quarter of 2022, we stabilized Camden Lake Eola a 360-unit $125 million new development in Orlando. We disposed of a 245-unit community in Largo Maryland for $72 million and we acquired a 16-acre land parcel in Richmond Texas for future development purposes. Subsequent to quarter end we acquired for future development 43 acres of land comprised of two undeveloped parcels in Charlotte and we purchased the remaining 68.7% ownership interest in our two joint venture funds for approximately $1.5 billion inclusive of the assumption of debt. The assets involved in this fund transaction include 22 multifamily communities with 7,247 apartment homes with an average age of 12 years primarily located in the Sunbelt markets across Camden's portfolio. We expect this acquisition will provide an initial FFO yield of approximately 4.4%. As a result of this transaction as detailed on page 10 of the supplemental package, the expected net operating income contribution from markets including Houston, Austin, Dallas and Tampa will increase slightly while the remainder of Camden's markets will reflect flat-to-slightly lower concentrations. This transaction allowed us to fully acquire a very attractive portfolio of assets with no execution or integration risks. We initially funded this transaction with cash on hand which included $500 million drawn on our unsecured $900 million line of credit. We are also now consolidating approximately $514 million of existing secured mortgage debt of the funds. Subsequent to quarter end, we issued 2.9 million common shares and received $490.3 million of net proceeds, which we used to pay down our line of credit. As of today, we have approximately $70 million outstanding under our line. At quarter end, we had $182 million left to spend over the next three years under our existing development pipeline, and we have no scheduled debt maturities until September 30 of this year. Our balance sheet remains strong with net debt to EBITDA for the second quarter of 2022 anticipated to be at 4.4 times. Last night, we reported funds from operations for the first quarter of 2022 of $160.5 million or $1.50 per share, $0.03 above the midpoint of our prior guidance range of $1.45 to $1.49. The $0.03 per share variance to the midpoint of our prior quarterly FFO guidance resulted primarily from approximately $0.025 from higher occupancy, lower bad debt and higher rental rates for our same-store and non-same-store portfolio, and $0.01 from an unbudgeted earn-out received from the sale of our Chirp investment completed in 2021. This $0.035 cumulative outperformance was partially offset by $0.005 in higher property insurance expense resulting from higher-than-expected levels of the self-insured losses. Last night, based upon our year-to-date operating performance our April 2022 new lease and renewal rates and our expectations for the remainder of the year, we have increased the midpoint of our full year revenue growth from 8.75% to 10.25%. Our revised revenue growth midpoint of 10.25% is based upon an anticipated 12% average increase in new leases and an 8% average increase in renewals. We are also anticipating that our occupancy for the remainder of the year will average 96.6%, up 20 basis points from our original budget for the same period. Additionally, we have increased the midpoint of our same-store expense growth from 3% to 4.2%. This increase results from the expectations of higher-than-anticipated insurance costs, property tax expenses resulting from higher initial valuations in Dallas and Austin, and bonus accruals related to our increased full year revenue guidance. As a result, the midpoint of our 2022 same-store NOI guidance has been adjusted from 12% to 13.75%. At the end of the first quarter, we implemented our work re-imagine initiative, which redesigned the way we conduct business in our property operations. The primary objective of this initiative is to deliver exceptional customer service, focus on leasing apartments, leverage the strengths of our teams, and create operational efficiencies. To do this, we shifted our operations model to expand from one community serving our prospects and residents to two or more communities being joined or nested together with shared leadership to support our customers. Additionally, we identified processes that could be automated or centralized and created a shared service division to streamline the execution of tasks, such as invoicing, delinquency management, and renewal initiation to name a few. This allows Camden team members at each community to better support the leasing process, as well as the focus on the customer experience. We anticipate that, this program which was previously budgeted for will save us approximately $1 million in 2022 on a net basis, after accounting for severance payments which were budgeted for and made in the first quarter. On a full year stabilized basis, our savings should approximate $4 million to $5 million. Last night, we also increased the midpoint of our full year 2022 FFO guidance by $0.27 per share for a new midpoint of $6.51 per share. This $0.27 per share increase resulted primarily from an approximate $0.18 increase related to our acquisition of the fund assets comprised of the following components: a $0.67 increase from consolidating the NOI from the two fund portfolios, a $0.07 increase from the non-cash amortization of net below-market leases assumed in the acquisition. Purchase price accounting requires us to identify either below or above market leases in place at the time of the acquisition and amortize the differential over the average remaining lease term, which is approximately seven months. If the leases were above market, the amortization would have resulted in an FFO reduction over the remaining lease term. A $0.21 decrease in equity and income of joint ventures and property and asset management fees. A $0.14 decrease due to the assumption of approximately $514 million in existing secured debt, which has a current average interest rate of 3.3%. 36% of this debt floats at LIBOR plus 185 basis points and the remaining 64% is fixed at 3.9%. A $0.14 decrease related to additional shares issued to fund the transaction, and a $0.07 decrease from the removal of any future acquisitions from our 2022 guidance. Although, our revised guidance does not include additional acquisitions this year, we will continue to look for opportunities to make accretive investments. Our revised guidance still includes another $200 million of dispositions by year-end. In addition to the $0.18 anticipated increase in FFO related to the fund acquisitions, we are also anticipating an approximate $0.11 increase from our revised same-store NOI guidance and a $0.01 increase from the first quarter unbudgeted earnout received from the sale of our Chirp investment. This $0.30 cumulative increase in FFO per share is partially offset by $0.02 of higher overhead expenses related to our anticipated outperformance versus our original budget and $0.01 of additional interest expense due to higher projected interest rates on our variable rate debt. We also provided earnings guidance for the second quarter of 2022. We expect FFO per share for the second quarter to be within the range of $1.60 to $1.64. The midpoint of $1.62 represents a $0.12 per share increase from the $1.50 recorded in the first quarter. This increase is primarily the result of an approximate $0.09 increase related to our acquisition of the fund assets comprised of a $0.22 increase from consolidating the NOI from the two fund portfolios, a $0.03 increase from the non-cash amortization of net below-market leases assumed in the acquisition, a $0.07 decrease in equity and income of joint ventures and property and asset management fees, a $0.04 decrease due to the assumption of approximately $514 million in existing secured debt, and a $0.05 decrease related to additional shares issued to fund the transaction. We are also now anticipating an approximate $0.04 sequential increase in same-store NOI resulting from higher expected revenues during our peak leasing periods, partially offset by the seasonality of certain repair and maintenance expenses, expected increases from our May insurance renewal and a sequential increase in property tax expense due to higher refunds received in the first quarter. A $0.01 sequential increase related to additional NOI from development communities and lease-up, a $0.01 decrease from unbudgeted earnout received from the sale of our Chirp investment in the first quarter, a $0.005 decrease from the sale of Camden Largo at the end of the first quarter and a $0.005 decrease from higher second quarter G&A as a result of the timing of various public company fees. At this time, we will open the call up to questions. 
Operator: [Operator Instructions] Our first question will come from Nick Joseph with Citi. You may now go ahead.
Nick Joseph: Thank you. Can you walk through the conversations with your JV partner of how the deal came about? And then also how valuation was calculated? 
Ric Campo: Sure. We have ongoing conversations with our JV partner. And we're talking about valuations and ultimate disposition of the pool of assets. The actual sort of finalized date in the pool was to sell assets by 2026. So, we had a 4-year kind of window. And it made sense we thought -- we think to go ahead and buy that portfolio. We had a meeting of the minds. They wanted to exit over the next four years. We figured that it'd be a pretty interesting way to create value for us long-term by doing that immediately.  The valuation metric was we had just completed an appraisal of the portfolio in December. And then we -- what we did is we took sort of values that were pretty evident in the market kind of average them together and then negotiated a fair price for both parties. So it was a very positive transaction for them. The fact that they put $300 million in and took out $1.5 billion worth of cash through the holding period and had an IRR way above 20% on their capital was a pretty positive transaction for the Teachers of Texas.  And from our perspective, it allows us to be more efficient in our portfolio by acquiring those assets. The other part of the equation, I think is really interesting about those assets is that they're primarily suburban and so it helps us with our suburban portfolio. Suburban continues to outperform urban generally. And we're just seeing this great transaction for both parties. 
Nick Joseph: Thanks. That's very helpful. And then maybe just what are you seeing in the transaction markets today, just given the rise in interest rates? 
Ric Campo: Transaction market is still very, very buoyant. Clearly the tenure going up 100-plus basis points in three or four weeks has definitely got people kind of head scratch and thinking about what pricing ought to be. I would say that the acquisition market for leveraged buyers has definitely taken a pause. The value-add space which we don't really play in, but that has definitely taken a pause.  But when you think about sort of core assets or core plus assets in the multifamily space that are being acquired by long-term holders for cash. That part of the market hasn't changed at all and there's definitely very aggressive bids continuing for that. So we'll see when you think about sort of any asset value it's driven by four things in this order. Liquidity in the marketplace which there's massive liquidity; supply and demand fundamentals which you could -- you can't argue about that in the multifamily space today; and then inflation expectations which we all know are going up; and then ultimately interest rates. So I think at the margin some leverage buyers are definitely having to rethink their underwriting. But most institutional buyers like us are just kind of looking at it as a -- it hasn't really changed the pricing from that perspective.
Q – Nick Joseph: Thank you.
Operator: Our next question will come from Derek Johnston with Deutsche Bank. You may now go ahead.
Derek Johnston: Hi, everybody. Good morning and thank you. Yes let's just stick on that in this rigid cap rate environment. And I think you mentioned the tight versus historical levels on the cap rate spread to the 10-year treasury. So what's keeping you from accelerating dispose and perhaps D.C. or some other markets?
Ric Campo: Well, nothing really. I mean we have a budget this year of a couple of hundred million dollars of sales. We usually do those at the end of the year primarily because we like to keep the cash flow as long as we can in the current year. But we have a methodical disposition and acquisition program and we're going to continue to execute that. If you think about the last 10 years, we have sold $3.4 billion of assets with an average age of 23 years and we have acquired $3.5 billion with an average age of four years maybe with the exception of the fund, which was actually 12 years. So we're going to continue to be involved in the market and it makes sense. If you think about all our dispositions we've done I mean all the low hanging fruit from a disposition perspective from Camden has been done and we love our markets. We like where they're operating. And at the margins, we'll sell some assets and reallocate capital as we talked about in the past we will be continuing to lower our exposure in D.C. and Houston primarily through organic growth, but also through some pruning of those -- of the portfolio in those markets as well.
Derek Johnston: Okay. Thank you. I appreciate that. And then you guys have I think $390 million in unsecured debt maturities this year. Clearly, you have one of the best balance sheets amidst all REITs. But when it comes to refinancing, can you kind of speak to -- when you talk to your bankers how the rate environment looks and what that might look like versus previous rates? 
Alex Jessett: Yes, absolutely. So we've got about $350 million of debt that comes due December 15 and that debt is at 3.15%. The way in our model that we plan on paying for it is the a couple of hundred million dollars of dispositions at the end of the year that Ric mentioned. But if you think about overall rates for us the indicatives that we have right now are right around call it 4.1%. And to give you an idea, probably about six seven weeks ago that number was sub-3%. So pretty aggressive acceleration on rates. 
Derek Johnston: Thanks. That’s very helpful. That’s it from me.
Operator: Our next question will come from Neil Malkin with Capital One Securities. You may now go ahead.
Neil Malkin: Thanks, guys. Another great quarter. First, one you touched on it I think Alex about the way that you're staffing and serving the communities. Can you just give some more color on that. It kind of seems like everyone or just your peers are shifting to like the next generation of sort of operations. Again, just if you could give some examples or sort of it sounds like you're potting your sort of clusters of assets to reduce your OpEx load. If you can just give some elaborate on that kind of how you see that going forward over the next 24 months that would be great. Thanks.
Keith Oden: Yes. Sure. I just give you a little bit of detail about the – we call it nesting humming birds, right? So some people call it coding. But the geography of our portfolio is pretty unique in that respect. And our approach probably it's very unique to Camden because of our geography. So within our 170 plus or minus communities, after this reformation of reporting responsibilities and duties into Nest, we end up with about 46 communities that are still standalone single community manager staff. And then we end up with about 76 that are nested in a payer of two and we have 39 communities that are in groups of three. So and that's really just based on geography and being able to staff those communities in a way that the on-site step becomes interchangeable with regard to where the need is for whether it's maintenance personnel or leasing personnel. So that's kind of the geography of it again, driven a lot by the way our portfolio lays out and the ability to be close enough to a sister community to make that work. When we started out and there were going to be all different permutations of this. Everybody is going to end up with an approach that works kind of for their grouping of assets in their geography. But when we started out, we didn't have a stacking in mind. What we were trying to accomplish is really two things regarding our on-site teams. One is one of the biggest challenges that historically of the single asset community manager, assistant manager, leasing and outside staff is that you just don't have the ability to have the promotion ability and the growth opportunity for those folks because they're sort of in the single line stack That's one challenge. We're providing additional growth opportunities by having new positions, the sales leader position and then the operations analyst position that people can migrate to over time as their experience increases. So that was a driving influence for us is to come up with a better mousetrap to provide for growth opportunities. But the second thing was that you always have – you have a single community in this linear community manager, assistant manager, outside staff, inside staff, you just – you end up with a situation where your skill sets are not properly aligned in many cases. You end up with people who are naturally inclined to sales as a leasing consultant. The next logical and really only move in most cases for them to advances to become an assistant manager. And assistant manager has in some cases they have some sales duties and in a lot of cases it's very much an administrative support role. And honestly, our best salespeople are generally not our best administrative tasking people. And so that was just an inherent shortcoming of not being able to leverage people's strengths because of the structure that we were bound to by having the single community linear approach. So that was the second really driving influence for us is to get people matched up to where their natural strengths are and then provide more opportunities for growth within that hierarchy. So I hope that explains a little bit about our philosophy. 
Neil Malkin: Yes. No, that's great. Thank you. Other one for me is related to, I guess, renewals. I think renewals are I think across the board I think stronger compared to what management teams and what we thought would kind of look like. Obviously, the turnover is historically low. And because you don't push as hard on those versus new leases you have quite a bit of loss to lease built up. And so I'm just wondering I would like you to discuss how you think about renewals through 2022 and even into 2023 just given the sort of low turnover environment people willing to take these prices. How do you think that stacks up for pricing power over the next several quarters? Thanks.
Keith Oden: Yes. So I think that the -- when you think about renewals and new leases I mean we manage our rent roll. Our revenue management team is doing this daily and we're looking at situations where it might be appropriate to put caps in place if you're trying to manage to a turnover or an occupancy amount and we've done that in some cases. I think the reality for our portfolio is that we started seeing really significant both new lease and renewal increases in the sort of May-June time frame last year. And obviously we're lapping up on that. And so we're coming into a period where we were already aggressively pushing both new leases and renewals and most of the rest of the market had not started to do that and certainly a lot of our public company peers have not gotten to the point where they had that kind of pricing power. So we're going to run into that first. You got to think about the move in rental rates both new leases and renewals in these markets is just a complete reset of the market clearing price for multifamily. And we are going to reach that first because we started down the trail first in terms of a market clearing price for these assets. It's -p there's a lot of conversation a lot of questions around the 16%, 17%, 20% headline increases. And that's true. We have seen that. But I think you for context you almost have to think of it over a three-year period because our residents who are yet they're getting these big kind of eye-popping increases right now. But for the two previous years you go back two years ago we were actually decreasing rents since beginning of the pandemic. And then the second year we had some very modest increases. So for the most part our residents are the reset of the rents if it's 15% over a three-year period it would be more like 5% per year for three years. But it's since it's all in one year it's kind of the headline. But we will definitely reach that reset first in our portfolio. I think the two markets where we are not going to reach the reset probably not even by the end of this year are Houston and D.C. proper and maybe L.A. County. And that's more in D.C. proper Loudoun County in the D.C. Metro area in LA County. That's a regulatory constraint. And then in Houston we think that we don't have any regulatory constraints anymore. And our growth rates have picked up pretty significantly. But those three of our markets probably will be the three that have not completely reset by the end of the year. 
Ric Campo: I'll just add to that. If you take our signed and renewal leases and you take out the two biggest markets Houston and D.C., we had a 14% blended increase with all the markets included. Take Houston and D.C. out, it's 16.6%. So to Keith's point the markets that have not reset to the level with the rest of the country have the ability to do that over the next couple of years. And Houston's issue is that energy has been -- has not added back all the jobs they lost during the pandemic. And Houston overall as an economy has still not added back all the jobs that we lost during the pandemic. And so there's gas in the tank if you will for Camden going forward on renewals and new leases. One of our two largest markets start over the next couple of years. We're able to do that big reset on them. And don't get us wrong. I mean, at least we're getting 8% to 9% increases in new leases but it's nothing like Tampa or Phoenix or some of these other really white hot markets.
Neil Malkin: Thank you.
Operator: Our next question will come from Rob Stevenson with Janney. You may now go ahead.
Rob Stevenson: Good morning guys. Keith or Alex what's the expected stabilized yield on the current five projects under development? And what are you expecting on projects that you'll start over the remainder of the year? And I guess the other related question here is what are you seeing on pricing availability for materials and labor for new starts?
Alex Jessett: Yeah, absolutely. So if you look at our current pipeline, we're anticipating right around a 6% stabilized yield. If you look at the assets that we haven't started yet that number is right around 5.25% to 5.5%. If you think about construction costs, probably the easiest way to think about it is to bifurcate it between high rises and for high rises we're seeing escalation right around 0.5% a month. For wood frame construction that number is right around 1% a month. I will tell you though we're starting to get some good news. Lumber is down to I think it's about $1000 per board foot, which is off of the $1,400 that we saw about three months ago but it's certainly well-above the $400 that we were seeing in normal time. So we're still seeing some escalation. It's still fairly significant, but there are some signs that it might be slowing down a little bit.
Ric Campo: The other part of that equation is general condition costs are up because it's taking longer to build. So pretty much every one of our development has definitely been enhanced by higher rent growth and better yields than we originally anticipated and that the pipeline that we're starting right now we start out with a fairly low expectation of rental growth over the next couple of years and then flat-line at 3%. So there's definitely upside in the ones that we're starting this year in terms of our yields. But the thing that you get into this issue of how fast supply can get into the marketplace. And we're adding 60 to 120 days of additional time frame on our construction projects anything we start this year. And that's in addition to the 60 to 90 days that we added three years ago. So it's really, the supply chain issue is going to be a problem through 2023, 2024. So that's sort of good news and bad news. It takes you longer to build. But on the -- so that's bad news. The good news is, is that all this new supply that is starting in response to the demand push that's happened in this industry is going to take a lot longer than most people think to come to the market. So that should make us feel pretty good about 2022 through the end of the year and through 2023 and not having major supply pressure on the demand side.
Rob Stevenson: Okay. And how are you guys thinking about the trade-off in terms of redevelopment these days, given how you're able to get 15% rental rate increases versus taking the unit out for some period of time and spending money? And is there a bunch of units in the JV portfolio you just acquired that you expect to redevelop, or has that already been going on inside the JV over the last few years?
Keith Oden: Yeah. We just approved another grouping of -- for our redevelopment program in total of about $125 million. So we still as the vintage works and the new construction pricing around our existing assets that are anywhere from 10 to 15 years old, as those rental rates continue to escalate, it makes the REIT positions look much more attractive. Obviously, the yield on that book of business has come down over time, but it's still the best play on the board for Camden with regard to capital allocation between either new development acquisitions or reposition. So we'll continue to do that as we can. There are a couple of assets that we acquired in the fund that are already under repositioned. There are a couple more that will likely be added to the pool next year. But honestly, we had already done some repositions with our JV partner as they made sense. They were always extremely supportive. They understood the play and the return on invested capital was the best play on the Board for the joint venture. So we operated the fund as if they were Camden assets, obviously with the consent of our partner. But there's not -- it's not like we were waiting or didn't have approval or didn't have capital or didn't have the buy-in to do repositions as they were appropriate within the fund. But there will be some assets that will be added just on -- based on conditions on the ground and what's happening to interrupt rental rates in the submarket.
Rob Stevenson: Okay. Thanks guys. Have a good weekend.
Keith Oden: You bet.
- Ric Campo: You too.
Alex Jessett: You too.
Operator: Our next question will come from Rich Anderson with SMBC. You may now go ahead.
Rich Anderson: Hey. Thanks, team. Good morning. So I'm sure your bankers have done the count for you about the net new demand you'll get from the inclusion. But I'm wondering if the equity offering post inclusion to what degree it was influenced by that? Was it made larger because of perhaps new indexers needing to own your stock. Any influence at all?
- Ric Campo: No. It was -- the equity offering was strictly to pay for the joint venture acquisition. I mean we bought it for $1.5 billion. You take off the debt side we needed $1.1 billion in cash and we had $600 million on our balance sheet. So we drew down on the line $500 million and it looked to us that given what has happened to interest rates with -- in the bond market that the equity offering made a lot of sense that sort of reload the balance sheet and get our debt-to-EBITDA back down to the 4.4 area. So no it was all driven by the acquisition.
Rich Anderson: Okay. Fair enough. Second question to what degree you hear management teams your peers say well we're heading into the heavy leasing season even M&A you said that in the Sunbelt. I'm curious to what degree seasonality really plays a major role for you guys I would think even like in a market like Phoenix, it's 150 degrees in July maybe better time to at least in November. And there's a lot of markets like that. So do you have kind of a muted seasonality factor when you talk about the second and third quarter, or do you feel like it's just as prevalent for you guys as it might be for an EQR or somebody like that up north?
Keith Oden: You're always going to have some degree of seasonality Rich. As you mentioned, Phoenix is the reverse -- has a reverse seasonality to our entire -- the rest of our portfolio for the reason that you mentioned. But the -- from these levels of occupancy and the level -- the low level of turnover that we've seen and continue to see, you just -- the leasing season, the volumes are just not going to be there as they have been in the past. We got incredibly low turnover and we're starting from a very high occupancy. So -- but more people -- but it's just a fact. I mean people in our markets tend to move around more in the summer. There's an impetus to get something done before kids go back to school, or they -- for whatever reason they're relocating. It just -- it's conducive to doing so. And always has been. So I don't think seasonality will be there. I just don't think you're going to see it in the leasing numbers if you're comparing -- start comparing year-over-year how many leases that we executed in the next six months, call it, between now and go back to pre-pandemic. I just don't think you're going to see anything like that, but it's not because seasonality is not out there, it's just a different set of facts.
Rich Anderson: Yes. Fair enough. That’s all I got. Thanks.
Keith Oden: Okay.
Operator: Our next question will come from Joshua Dennerlein with Bank of America. You may now go ahead.
Joshua Dennerlein: Yes. Hi, everyone. Hope everybody’s doing well. Sorry if I missed it, but did you guys discuss your earn-in for 2023, given everything that's already in place?
Ric Campo: We did not. And it's probably a -- it's a number that we talk about, but it's such a speculative number that we're really not going to talk about that. It's just -- it's hard to predict ultimately. Maybe second or third quarter is a better time to ask it.
Joshua Dennerlein: Okay. I'll keep it in my question bank for 2Q.
Ric Campo: Very good.
Joshua Dennerlein: Yes. And then, one of your peers announced a new structured investment program this quarter and I know some other REITs have it as well. Is that something you've looked at, like whether, you would set up a similar program, where you could provide mezz or preferred equity to third-party developers in your markets?
Ric Campo: We've actually done that before. And it was -- usually the margin make decent money on those types of transactions and I know our competitors do it. But we would rather keep our balance sheet clean and focus 100% of our attention on our existing portfolio. And at this point, we have no joint ventures on our portfolio. We have the most simple and cleanest balance sheet in the sector and we're going to keep it that way.
Joshua Dennerlein: Got it. Sounds good. Thank you.
Operator: Our next question will come from Haendel St. Juste with Mizuho. You may now go ahead.
Haendel St. Juste: Thank you, operator. That’s actually very good pronunciation. Hey, guys. I want to talk about SFR development here. It looks like you started two projects in Houston. I guess, I'm curious, you've alluded to in the past perhaps you're looking at this. But I guess, I'm curious, why now the approach you're taking here the type of product, looked like you're partnering with a local builder. Maybe talk about the returns you're targeting and your appetite for maybe doing more. Thanks.
Ric Campo: Sure. So you're talking about the two properties that we have acquired in Houston and those are both purpose-built single-family for-rent properties. And the way we look at them is, they're just horizontal apartments, right? And the fact that they're all in one subdivision, and they're -- and both projects are a decent scale 180-plus units. We just think it's an interesting thing to the single-family rental market to sort of dip our toe into. If you look at our history, we got involved in student housing we got involved in senior housing and those two areas for us were too kind of far-flung for our taste. The single-family rental market is a different animal. And if you can have a subdivision and have some scale within that subdivision then you sort of run it just like an apartment and maybe with less staff and what have you. But I think it's just an interesting and potentially expansion ability for us in the markets we're already in. So we're -- like I said, put our toe in the water. And the yields are pretty much the same on those properties as they are in the multifamily space. The challenge with purpose-built single-family rentals is that the size of the project is not ideal. Most of our new developments today are over $100 million and most are like $150 million. So, it's a little inefficient for our senior development people to work on smaller deals like that. But it's I think an area for us and also the municipalities oftentimes don't understand single-family rental. So it takes longer sometimes to entitle and -- but ultimately, I think it's an interesting area for us to look at and to ultimately maybe get some benefits from how they're operated and have that translate into more efficient operations in our final projects.
Haendel St. Juste: Got it. That's interesting. Certainly sounds like there is perhaps a mindset to do more, but you're using now these two projects that may be a case study?
Ric Campo: Yes.
Haendel St. Juste: Second question maybe for Alex. Maybe a bit more color on the expense guidance, the 120 basis point increase, not a small amount given that you gave out guidance 60 days ago. I guess I'm curious you could talk a bit about more about what's happened in the last 60 days? You touched on some of the pressures maybe in the insurance and property taxes. But I guess I'm curious maybe you can get into some of the detail on each of those pieces? And do you think that the new guide kind of captures what you're seeing out there or the risk of further increase in the same-store guide over the course of the year? Thanks.
Alex Jessett: Yes, absolutely. So, the first thing I'll talk about is taxes. So you have to remember that taxes, is about 35% of our total expenses. And initially we thought taxes were going to be up 3.3%. We now think they're going to be up 3.8%. The big driver there is Austin and Dallas. We got our initial valuations in. They were in the 30% up range. Obviously, we will contest those as we typically do. And we obviously anticipate that there's going to be some rollback in rates to account for the increase in valuations but that's one component of it. The second component of it is insurance. Originally, we thought that insurance was going to be up, call it, around 11%. We now have it up around 22%. 70% of our insurance cost is associated with rates. We think our rates are going to be up right around 30%, which is continues to be a really tough insurance market. We are actually in the market right now trying to do our renewal. We're going to know a little bit more obviously, probably in the next three or four weeks, but we feel that what we have here is a pretty good number. And then the other side of it is salaries. And as we typically have done whenever we have outperformance on the revenue side, we do increase our bonus accruals. As you know we do reward our on-site teams for their efforts. And so you've got a component that's directly tied to what we're anticipating for outperformance on the revenue side for the rest of the year.
Haendel St. Juste: That’s great color. Thank you.
Operator: Our next question will come from Brad Heffern with RBC Capital Markets. You may now go ahead.
Brad Heffern: Can you give any updated stats on move-ins from outside the Sunbelt or move-outs to areas outside?
Alex Jessett: Yes absolutely. So, if you think about in the first quarter of this year, about 19.3% of our move-ins came from non-Sunbelt markets. If you look at that on a year-over-year basis, that's up 160 basis points from the first quarter of 2021. And if you compare it to the first quarter of 2020, right before COVID got started, that number is actually up about 330 basis points. So, continue to see really, really robust demand from folks moving from outside the Sunbelt into our Sunbelt markets and continuing to see acceleration on that front.
Brad Heffern: Okay, got it. And then any update on where rent income stands currently?
Ric Campo: Sure. Right now rent to income is around 20%. If you look at our new leases our average household income is about $116,000 and our lease to the rent-to-income ratio is slightly less than 20%, but overall it's a little -- right at 20%. And the challenge with that number is we don't ask our residents to update their income number. So, what's been happening is, is when we renew somebody the rent goes up, but their income stays the same because we don't we ask them to update their income. And so I think those numbers at 20% and a little less than 20% are probably overstated. It's probably in the teens if you upgraded everybody's income.
Brad Heffern: Okay. Thank you.
Operator: Our next question will come from Steve Sakwa with Evercore ISI. You may now go ahead.
Steve Sakwa: Thanks. Good morning. I guess first question just on bad debt. Maybe I missed it. Could you just maybe talk about the bad debt trends that you saw in 1Q, kind of, what you're budgeting within the revenue growth for the full year?
Alex Jessett: Yes absolutely. So, collections for us in the first quarter were right around 98.8%. If you think about bad debt and you sort of go back to the trend. So, pre-COVID for us bad debt was right around 50 basis points. In 2020, that number was around 120 basis points and that stayed that way through all of 2021 as well. What we're anticipating in 2022 is a slight improvement in that number and we're thinking that will get down to right around maybe call it about 100 basis points. Yes go ahead. 
Steve Sakwa: Sorry. If you just think about 2023, do you think that reverts down towards the 50 basis points next year?
Alex Jessett: We certainly anticipate that as we move through 2022, we're going to get back to a more normal trend. I mean really if you ignore California in our portfolio, our delinquency is right around 50 basis points, which is right in line with historical averages. So, as long as we get to the point in California where we can enforce contracts, which we certainly hope by the time we get to 2023, we're going to be in that scenario then we should assume that 23% is going to be a more typical year. And by the way the 50 basis points that I told you in 2019 that's what we experienced since we went public. So, that's very much a normal year. 
Steve Sakwa: Got it. Thanks. And then just second question, I guess maybe for Ric or Keith. Just big picture, we're seeing more discussion about rent control outside of the New York and California markets, and some of the Florida markets just given how much rents have gone up. I'm just curious kind of what your thoughts are – what kind of discussions you're maybe having with folks in Washington and in some of the states about that?
Ric Campo: We're definitely on it no question. There's – when you think about the states like Florida and Texas, they may talk a good game in the cities at the local level, but at the state level it seems very counterintuitive to think that deep red states with Republican governors are going to go anywhere near repealing sort of statewide bands on local municipalities doing rent control. And so I think, we're in good shape in most of our markets, we're not really too concerned about rent control. National Multi Housing Council, we're very involved in that and Laurie Baker serves on their leadership group, and we're talking on an ongoing basis to lawmakers about rent control. Nationally, it really won't be a national thing. It's really a state-by-state thing. We just had a conference call last week for example – this week with the California Apartment Association, and the industries expects to have another fight in California coming up on repealing, the statewide rent control scenarios. But generally speaking, in our markets, I think we're pretty good with the exception of California rent control issues.
Steve Sakwa: Great. That's it for me. Thanks.
Ric Campo: Okay.
Operator: Our next question will come from Connor Mitchell with Piper Sandler. You may now go ahead.
Connor Mitchell: Hi. Thank you for taking the question. So I just have couple items to circle back to first regarding the single-family rentals. Can you just remind us, if these are stand-alone products, or would it be more of attached townhomes?
Ric Campo: These are standalone products, with two car garages at front yard and the backyard. We probably, when you think about whether they're townhouses or not, I think that, we're starting out with detached. And I think ultimately townhouses make sense too. We developed townhouses as part of our development program in certain places for example in Atlanta at our Camden Buckhead property. We have townhouses and they're three bedroom townhouses, and they get the highest average rent, and they're absolutely full all the time. So I think – I don't think, it's negative that townhouses are negative. The two that we're building right now just having to be detached.
Connor Mitchell: Great. Thank you. And then the second question was, can you just remind us again of the – if there's been any acceleration of move-outs to home purchases given the rising mortgage rates or a decline?
Keith Oden: Yeah. So we actually declined from last year. We were in the high 15s. So far this year we're back down to 14%. Long-term average for our portfolio over the 20-plus years is about 18% to 19%. So we're still well below what the long-term average is. And with the recent spike in the tenure and the corresponding move in mortgage rates, I just -- I can't -- it's hard to see that number getting much traction on the upside anytime soon. I suppose, it's possible that you could sort of have the panic, buy like I have to buy now before it gets worse effect in this quarter, but mortgage rates above 5% versus where they were even six or seven months ago in the 3s is a game changer for most people. And I think that lenders are probably putting place in a lot more scrutiny around borrower requirements just because the -- it's better to underwrite them. And so I think, it's pretty likely that we'll stay much 300 or 400 basis points below our long-term average on move-outs to buy homes. It just gets tougher-and-tougher. So not only do you have in many of our markets single-family home prices have doubled in the last five years and now you have a 5% mortgage rate. And the combination of those two things is just a killer for affordability for most first-time homebuyers.
Ric Campo: When you look at our numbers from 2021, it was interesting to watch -- to see in March of 2021 or move-out to buy houses was around 16% in April, through the end of the month. So far it was 17% in March and April of 2021. And if you go back to this March, we were at 16%, which is pretty much the same as it was in the prior March. And then -- but April fell to as Keith pointed out, 14%. So we had a 300 basis point decline from April 2021 to 2022 and a 200 basis point decline from March to April. And April is sort of thought as the spring home buying season. People rush into the market before the summer. And so having those numbers decline year-over-year and month-over-month tells me that single-family home move-out to buy homes is not going to be a problem for us. And there is some tension and stress in the market where people can't afford the high price or the high interest rate at this point.
Connor Mitchell: Great. Thank you for the color on that. Thanks. That's it for me.
Ric Campo: Okay.
Operator: Our next question will come from Chandni Luthra with Goldman Sachs. You may now go ahead.
Chandni Luthra: Hi. Thank you for taking my question. I believe it hasn't come up and if it has, apologize. Could you remind us where last year, lease stands in your portfolio right now? And how much of it do you expect to capture in 2022?
Alex Jessett: Sure. So loss to lease for us is right around 11%. And obviously, as we -- as we work through 2022, we should capture a large percentage of that. Now obviously, you have to remember that for renewals we're not generally bringing renewals, all the way up -- all the way up to market for a variety of reasons. So you'll never really capture that full amount, but we should get quite a bit of it for the rest of the year.
Chandni Luthra: Great. And before the end of the hour, if you could give us an update on your thoughts around, how you're thinking about supply in 2023, in your markets? I mean, obviously, it's no surprise to anybody it's not news that permitting activity, construction activity has kind of been really up there. But then, at the same time, we continue to see compounding supply chain issues as well, so and higher interest costs and kind of construction costs. So how are you thinking about supply in your backyard next year?
Ric Campo: Go ahead. 
Keith Oden: Yes, Ron Witten has got completions in our – across Camden's portfolio at about 160000 apartments this year. And then in 2023 based on his estimates that goes to 212000. So about 50000 increase across our entire – all of our 15 markets. And I do believe that this is Ron has updated his completions numbers to try to capture the impact that Ric talked about earlier which is it just takes longer to get these jobs built. So everybody that's been doing completions work for years and years and they've been using the same kind of estimates and metrics around start date how long to first unit turned and how long to deliver completed product. They've all been badly wrong in the last two years and I think they're finally made some progress on understanding just what the effects of this elongated construction period that everyone is dealing with. So I think he believes his numbers have captured, the slippage that is happening above historical rates and he thinks we're going to be up 50,000 completions across Camden's markets next year which if you look at it market by market there's not none of them look terribly troubling at this point as long as we continue to get decent job growth.
Ric Campo: It also shows above average or above long-term trend revenue growth in 2023 in spite of the new supply coming in. 
Operator: Our next question will come from John Kim with BMO Capital Markets. You may now go ahead.
John Kim: Thank you. Good morning. Alex in your prepared remarks you mentioned that your same-store revenue guidance includes the assumption of 8% on renewals. And I just wanted to clarify is that 8% for the remainder of the year, or is that the full year including 14% in the first quarter? 
Alex Jessett: Yes. I think the best way to probably look at that is we're getting towards a blended 10% and so the blended 10% includes the full year. 
John Kim: Okay. So not to focus too much on renewals but you did mention it's lower than your new lease growth rate. I'm just wondering why that's the case. The new lease growth rate at 12%. 
Alex Jessett: Yes. Obviously, we've had over the past call it 1.5 years we've had a situation where new leases have been higher than renewals. Now at some point in time that will converge right? And that's what you typically see. But for our assumptions right now we are assuming that they are not converging just yet. And if you think about why renewals are less than new leases it's what I sort of mentioned earlier, obviously when you've got a resident in place there are certain – there are frictional costs associated with that resident leaving. And that's typically why at least in the past 1.5 years we've had lower rates on renewals. 
John Kim: Okay. My second question is on your 11% loss to lease. Is there any way to break down what that loss to leases on your leases that were signed in the second and third quarter of last year? I'm assuming that what you just had in the first quarter is a minimal loss to lease that would be higher than 11% on your older ventured leases? 
Alex Jessett: Yes. I mean so when we talk about an 11% loss to lease what we're doing is we're looking at the signed leases that occurred -- that occurred in March as compared to the in-place leases. You are right that if you have an upward trajectory of rate increases in 2021, then you start to build off of either lower or higher numbers depending upon how you flow throughout the year. And theoretically, I mean that's why the loss to lease starts to -- starts to minimize as you move forward.
John Kim: Great. Thank you.
Operator: Our next question will come from Austin Wurschmidt with KeyBanc. You may now go ahead.
Austin Wurschmidt: Thanks everybody. I just wanted to go back to the new lease rate trends a bit, which recognize they've moderated a bit here from the peak. And just wondering, how much you think is really seasonality related versus the tougher comps and just normalizing steadily normalizing operating conditions because up until this point to what you just said really turnovers remain very low and occupancy really held up quite well in 1Q. So I guess what's holding you back from trying to drive new leases even higher to the extent that you're still getting traffic and sort of keeping occupancy fairly elevated relative to historic levels.
Keith Oden: I think you have to start with the places where we are constrained from getting market rate increases and that would be D.C. proper, still certain parts of California. And those are meaningful numbers. And Washington D.C. which includes the D.C. proper assets Loudoun County where we are -- we still are not able to push through what the market rate increases are. Our total rents in Washington D.C. for the quarter were 5.3% against a portfolio-wide average of something north of 11%. So -- it's 17% plus or minus of our NOI. So it's -- that's a big part of the story is that, as other places kind of moderate from 20% to 16%, you still have Washington and in parts of California where we're getting no rental increases or CPI-type rental increases. So it's -- I mean I think that's the biggest part of the story. In terms of -- we certainly believe that if we were unconstrained in Washington D.C. and we know just mathematically if you -- we haven't had anything close to a reset of rental rates in D.C. proper and Loudoun County because we haven't been able to raise rent. So I think it will happen and I think it's likely to happen. I mean I hope that we get out of the constraints of regulatory regimes that don't allow rental increases just by sort of fiat or a local order by the end of this year and we certainly expect to. And I do believe that just the way things are trending right now, that we will be coming out of the constraints even though when you come out of the constraints, there's still going to be a period of time where we have to work through the process of actually getting control of our real estate on the folks that are still not paying or choose not to pay. So -- but I think it's -- I think we feel like we're in a really good position, given the uncapped rental increases that we're going to get to at some point. And I just -- I certainly hope it's by the end of the year.
Austin Wurschmidt: Got it. No I appreciate that perspective. And so how much of the loss to lease bucket is from markets where you're constrained? And then I'm also curious how much across the portfolio market rents have increased year-to-date?
Alex Jessett : Yes. So if you think about market rents and sort of increasing on a year-to-date basis, on a full year for 2022, we think it's going to be up right around 4%. And so you can probably sort of extrapolate that back to what we're seeing in the first quarter. On loss to lease, I think the way that, Keith sort of laid it out is probably the best way to think about it, which is you've got D.C. and California, which make up 23% plus or minus of our total portfolio. And that amount is going to have a much larger loss lease calculation. And you can probably take that loss to lease. It's almost sort of hard to understand exactly what it is right? Because you don't understand what the true market rate is because there's so much to discover. So I think as we sort of move through the legislative challenges that we have and then we're able to establish what real market is we're going to have a much better idea of what the true loss to lease is. 
Austin Wurschmidt: Right. Right. So presumably market wages have moved much more than probably market rents over that three-year period that you were talking about earlier in the call.
Alex Jessett : Absolutely. 
Austin Wurschmidt: So, Alex, yes, with respect to guidance and more specifically the assumptions underlying same-store revenue growth. Are you guys targeting lower occupancy in the revenue management systems to get you back to that back at/or below the 96.6%, I think, you're assuming for the full year? And then I'm also curious what you're implying for lease rates in the back half of the year?
Alex Jessett : Yes. So we set our settings. I mean, it's really interesting, because the higher you set your occupancy settings, the higher rate drives the rental rates, right? And you're trying to get to that sort of sweet point where the occupancy setting is high enough that you ultimately max out on your rental rates. And what we've seen is that no matter how high we set, we continue to have just really tremendous demand. And that's why you're seeing that type of new lease and renewal increases that you're having. So it's not a matter that we're sitting here and saying, we want to be at 96.6%. We do believe that and we do have perhaps some conservatism built into our numbers that the occupancy levels that we've experienced over the past really four or five quarters can't continue. And so that's what you've got baked in. And then if you sort of think about what are we assuming in terms of blended rental rates on a go-forward basis, as I told you, we're assuming that we're averaging at 10% for the full year. So if you look at the first quarter that's right around 15%. If you look at the second quarter we're at call it 14.5% already so that would imply that we're assuming that we get down to sort of a 7% number for the third quarter and maybe a 4% number for the fourth quarter.
Austin Wurschmidt: Got it. I missed that 10% number so thank you for that. And then what is the -- is the 30- to 60-day availability when you look out is that elevated versus prior periods or tracking similarly? Kind of known move-outs plus current vacancy.
Alex Jessett : Yes. We continue to have very low turnover. 
Austin Wurschmidt: Okay. Great. Thanks for the time.
Operator: Our next question will come from John Pawlowski with Green Street. You may now go ahead.
John Pawlowski: Thanks for keeping the call going. Ric just one question on the Texas Teachers trade. You mentioned the valuation was done at the end of the year in December. Was there any impact or any repricing of the portfolio due to higher interest rates?
Ric Campo: Well we did -- we did have the appraisal -- formal appraisal where we mark-to-market at the end of the year. But then at the first quarter, we also then adjusted that for what we thought the current market was. And that's -- at that point we -- is where we sort of came to struck the price. So there was an adjustment from the appraised number in December and we ended up with having -- not having a big discussion about what those prices were since we had sort of two sort of basis that we used in December 1 and then another valuation kind of metric in probably at the end of February early March.
Keith Oden: There was no adjustment to purchase price for...
Ric Campo: No there's adjustments on interest rates now.
Keith Oden: No it was stuck before the meaningful move in interest rates.
John Pawlowski: Okay. I guess the cap rate...
Ric Campo: I don't think -- go ahead. Sorry.
John Pawlowski: Okay. Yeah. No, I'm sorry I cut you off there. I guess the cap rate above 4% kind of surprised us on the high side. Could you just talk about how many other bidders were in the tent and how broadly this is marketed?
Ric Campo: You're talking about the Texas Teachers transaction?
John Pawlowski: Yes. 
Ric Campo: There are no other bidders in the tent. It was a direct negotiation between the partners of the JV which was Camden and Texas Teachers. And so when you look at the cap rates on it, at the end of the day I think it just became evident to Texas Teachers at least from their perspective that they wanted to trade based on valuations and the value that we -- the value calculation that we did after the original appraisal values in December were substantially higher than the price values in December. So I think they just thought it was when they looked at everything overall the efficiency of the transaction from their perspective and our perspective was really, really good because had we gone out and bid it into the market, clearly we wouldn't have been able to do the transaction. From start to finish it was a four week transaction. And if you try to bid a 7,200 unit portfolio 22 properties in multiple markets that's a 120-day gig. And so I think Teachers was very interested in getting the deal done as soon as possible as we were. And it was sort of -- we both looked at it as a moment in time and we got to what we thought was fair value even though you never know what values will be clearly when you bid and we were happy about not having to bid it.
John Pawlowski: Okay. Thank you for the color.
Ric Campo: Sure.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to CEO Ric Campo for any closing remarks.
Ric Campo: Great. Well, thanks for being with us today. And we'll see you guys in NAREIT in a couple of -- in few weeks, right? That's the first in-person NAREIT in June. So thanks a lot and take care. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.